Operator: Good day, ladies and gentlemen, and welcome to the Altisource Asset Management Fourth Quarter 2014 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 I would now like to turn the call over to Mr. Robin Lowe, Chief Financial Officer of Altisource Asset Management. Sir, you may begin. 
Robin Lowe: Thank you, Abigail. Good morning, everyone, and thank you for joining us today. My name is Robin Lowe, and I'm the Chief Financial Officer of Altisource Asset Management Corporation, which we refer to as AAMC. 
 Before we begin, I want to remind you that a slide presentation is available to accompany our remarks. To access the slides, please log on to our website at www.altisourceamc.com. These slides provide additional information investors may find useful. 
 As indicated on Slide 1, our presentation may contain certain forward-looking statements pursuant to the safe harbor provisions of the federal securities laws. These forward-looking statements may be identified by reference to a future period or by use of forward-looking terminology. They may involve risks and uncertainties that could cause the company's actual results to differ materially from the results discussed in the forward-looking statements. 
 For an elaboration of the factors that may cause such a difference, please refer to the risk disclosure statement in our earnings release as well as the company's filings with the Securities and Exchange Commission, including our year-end December 31, 2014, Form 10-K and our first, second and third quarter 2014 Form 10-Qs. 
 If you would like to receive our news releases, SEC filings and other materials by email, please register on the Shareholders page of our website, using the Email Alerts button. 
 As indicated on Slide 2, joining me for today's presentation are Ashish Pandey, Executive Chairman of AAMC; and George Ellison, Chief Executive Officer of AAMC. I would now like to turn the call over to Ashish Pandey. Ashish? 
Ashish Pandey: Thank you, Robin. Good morning, everyone, and thank you for joining us today. I would like to begin with some key highlights. Please turn to Slide 3. 
 First, I would like to welcome George Ellison to the management team. George joins us as Chief Executive Officer of AAMC and President of RESI. George brings a wealth of industry experience and tremendous leadership acumen to the role, and we look forward to his focus on growing our company. George, welcome aboard, and we are excited to be working with you. 
 Second, we expanded RESI's servicing bandwidth. We added 2 new services and initiated transfer of approximately 4,500 loans in the first quarter of 2015. Our ability to work with multiple services concurrently will insulate RESI against any risks arising from reliance on a single servicer. 
 Third, we increased the number of properties in our rental portfolio to 653 as of February 28, 2015, renting properties at a rate of 82 per month in 2015 compared to 40 per month in the second half of 2014. 
 Finally, we have a new management agreement with RESI. The new agreement is in the best interest of AAMC and solidifies our long-term relationship with RESI. You can find the details of the new agreement in the Form 8-K that we will file, but let me summarize the key terms as shown on Slide 4. 
 AAMC will be RESI's asset manager for an initial term of 15 years subject to achieving certain performance thresholds and can avail 2 additional 5-year renewals based on performance. Amended management fee as follows: an annual base management fee equal to 1.5% of RESI's invested equity capital, increasing to 2% of invested capital based on the number of RESI's rented homes; a quarterly incentive management fee equal to 20% of the amount by which RESI's return on invested capital exceeds the hurdle return rate, with the fee increasing to 25% based on number of RESI's rented homes; a hurdle rate of between 7% and 8.25% depending on the 10-year Treasury rate; and finally, a conversion fee equal to 1.5% of the market value of the homes leased for the first time during a quarter. 
 RESI will no longer be required to reimburse AAMC for the compensation-related expenses of AAMC's employees. RESI shall be entitled at its option to pay up to 25% of the incentive management fee to AAMC in shares of its common stock. 
 As shown on Slide 5, in the event the new agreement were in place for 2014, our total fee would have been $36 million or 51% lower than the incentive fee under the prior agreement. 
 I would now like to turn the call over to Robin. Robin? 
Robin Lowe: Thank you, Ashish. I will now provide more detail on our financial performance. 
 As shown on Slide 6, we reported net income of $21.9 million or $7.92 per diluted share for the fourth quarter 2014, up from 77 -- $17.7 million or $6.25 per diluted share in the third quarter 2014. 
 As we have stated in previous earnings releases, under GAAP, we are required to consolidate RESI into our financial statements as if we were the parent in a typical parent-subsidiary relationship. But in reality, we do not have a claim on either a 100% of the income or assets of RESI. Also, because we own 100% of the voting common stock of NewSource and there are no substantive kick-out rights granted to other equity owners, we consolidate NewSource in our consolidated financial statements. 
 In order to provide clarity to our shareholders, we have included certain non-GAAP disclosures on Slides 6, 7 and 8 that provide stand-alone financials for AAMC. We believe that this non-GAAP presentation provides a meaningful comparison between our reported results and how we internally manage our business. This non-GAAP information should be viewed in addition to and not as an alternative for our reported results under GAAP. 
 AAMC's stand-alone income before taxes was $25.6 million in the fourth quarter. Revenues for the fourth quarter were $25.2 million, up from $21.3 million in the third quarter. The increase was mainly driven by an increase in the incentive management fee due to the inclusion of the incentive fee related to the post-year-end catch-up dividend intended to distribute 100% of RESI's 2014 REIT taxable income. 
 Total expenses for the fourth quarter were negative $0.3 million compared to positive $3.9 million in the third quarter. This is mainly due to the recognition of a reduction in fair value of a nonemployee restricted stock award and the forfeit of awards by departing employees. Excluding the restricted stock adjustments, AAMC's fourth quarter total expenses were $2.8 million, comprised of approximately $0.8 million of compensation and benefits expense and professional services and other expenses of $2 million. 
 On Slide 7, we show the full year financials for AAMC for 2014. On a stand-alone basis, AAMC's income before taxes was $63.8 million. Revenues were $75 million for the full year 2014, consisting of incentive management fees of $68 million and expense reimbursement of $7 million. 
 Total stand-alone expenses for 2014 were $11.1 million, which included $1.2 million of noncash restricted stock expense. Excluding the restricted stock expense, AAMC's 2014 operating expense was $9.9 million, which can be broken down into 2 components comprising $4.5 million of compensation and benefits expense and $5.4 million of professional services and other expenses. We believe that these stand-alone revenue and cost figures provide the true measure of AAMC's operating results. 
 Additionally, AAMC's balance sheet under GAAP includes the equity of Residential, which is then reflected in AAMC's book value per share. This reporting does not reflect the true economics to AAMC shareholders. And so on Slide 8, we show the stand-alone balance sheet of Residential, NewSource and AAMC. 
 I would now like to turn the call over to George. George? 
George Ellison: Thanks, Robin. Let me begin by saying I'm very pleased to be joining the AAMC and RESI management team, and I look forward to working with all of you. 
 And if you turn to Slide 9, I'd like to discuss some of the focus areas for AAMC as we move forward. First and foremost obviously is to focus on RESI and to continue to accelerate the rental portfolio growth as the REO pipeline grows. As Ashish said, we're not perfect yet, but we have improved RESI's leasing performance as you see in the numbers. We will continue to focus on optimizing renovation and disposition processes to reduce time line and cost to recycle capital for reinvestment. We will continue to optimize funding through further NPL securitizations, and we also intend to position ourselves for an SFR, single-family rental securitization, which all of you have seen in the marketplace. 
 Second, as I listed here, ideas that we're incubating will be to pursue sequentially strategic lending. And what I mean by that is ideas that are very similar and in the same vein as what we're learning, and our expertise exists in the businesses that RESI has. Multiple home landlord lending, we believe, there's a demand for financing this space, which is currently not being met by existing lenders. 
 The target would be, for example, individuals who own 10 properties or more. And I think if you have been watching the news this week, there's actually several of these securitizations in the marketplace. So we'd like to explore that and see if that's something that we can't make adjacent to the existing power that RESI is starting to really feel. 
 Third, another idea that we might look at down the road would be working with Lenders One and Hubzu inside of ASPS to originate QM exempt single-family loans or other single-family origination, again, an area where we see a gap in supply from existing lenders for various reasons, and we believe we have the ability and the expertise to step in. 
 And then fourth, again, much of these concepts we're looking at will be to pursue some insurance-based strategies. We believe there could be several opportunities in the insurance space, and we'll be exploring that down the road to see if we can't capitalize on some of that as well. That's Slide 9. 
 I just wanted to point out there is an appendix with 2 slides. First, you see an illustration of the calculation of the pro forma dividend and the AAMC fee under the new management agreement that Ashish discussed for Q4 2014. And second, a comparison of pro forma dividends and AAMC fees for 2014 assuming a 2% base management fee and a 25% incentive fee, so you can look at that scenario as well. 
 And at this time, I'd like to turn it back to Abigail. Abigail? 
Operator: [Operator Instructions] Our first question comes from the line of Fred Small. 
Fred Small: I just wanted to follow up quickly on the term -- some of the terms of the new agreement. Is there still a termination fee? 
George Ellison: This is George. There is -- when you see the agreement, there are a lot of different -- it's a pretty complex agreement, and so it's not a straightforward yes or no termination fee there. There are different scenarios that you'll see and at different levels, at different periods of time. So what I would recommend is that you look at the agreement when it comes out, and then we'll be happy to walk you through different scenarios. I mean, it's a 15-year deal with 2 5-year extensions. But I -- as I said, I think it would be best if you could review it. And then as I said, we'll be happy to get on the phone and walk you through the different scenarios. Is that fair? Robin, would you add anything to that? 
Robin Lowe: No, it's absolutely a fact. 
Fred Small: Okay. I mean, if -- so just one quick follow-up to that, but I understand your point. If you just think about the overall economics on a blended basis between -- obviously, you're -- you were looking at the previous termination fee as AAMC shareholders versus what you gave up and what's there now. Is it, at the margin, lower or higher? 
George Ellison: I mean, Ashish, maybe you want to add. I'm not sure if the -- as I said, I think the -- we'll have to see the scenario that you see there, so you can compare the 2. I mean, at a high level, you're trading certainty of time with a lower fee for RESI. So as to whether the termination fee issue inside of the old contract versus the new one, I'm not sure I can answer that straight up which one's better or worse or what percentage is. But Ashish, maybe you... 
Ashish Pandey: Yes. Fred, as the margin -- the new agreement is better for RESI shareholders, the termination fee for AAMC under the new agreement will be lower than what they were in the prior agreement. 
Fred Small: Okay, awesome. And then on the calculation, the return on invested capital calc for the new agreement, are we just assuming sort of the profitability measure that you're using there or the profit measure you're using there is taxable? 
Robin Lowe: Taxable income with some adjustments basically. Again, you'll see the full details in the agreement when we 8-K it. 
Fred Small: Okay, got it. And then, George, just when you look down sort of the list on Slide 9 of adjacent opportunities for AAMC, which are you most excited about there? Number one. Number two, which do you think is sort of the biggest market for you either near term or long term? And number three, where do you think you'll -- where do you think the most attractive economics will be for AAMC? 
George Ellison: Well, I think the -- as we said in the slide -- I'm not ducking your question, the RESI platform itself still has so much. It's really just starting to blossom if you look at the number of homes that are just starting to come out at the back end. And so you're seeing 336 at year-end, and it's already up close to, Robin, I think 600. So it's really -- there is a lot of opportunity inside of that. And so as I said, that's our main focus. What I think the -- what we don't want to do is jump to some idea that's completely disconnected. So the body of experience around this business for both companies around the rental business is that it's obviously -- it's a very deep knowledge base and experience based around the rental business. So the one that I -- what I'd like to present to shareholders, to the board, to people is that let's take a half-step and look at things around rental because we are so comfortable in that space, and we already know a lot and continue to learn a lot. And I think it's a unique -- RESI is a unique platform, as you know. And so that -- I think it puts us in pretty good stead vis-à-vis our competitors. So to look at some of these ideas where you have people who are buying multiple homes and renting them is sort of right -- to use your word, it's adjacent to what we're already doing. Those folks, as you know, are struggling to get financing, and -- but we have seen the securitizations just start around that. So we know that the takeout actually works. So we don't want to do any -- we want to stay right on the -- right in the middle of the fairway. Could we go after something like that where we know what we're doing? We understand that space. We have RESI. We have AAMC. We have the relationship with ASPS. That doesn't seem like a stretch to me, and I think that's probably the most exciting opportunity next. 
Fred Small: Okay, awesome. And then last one on the -- just sort of thinking about when the fee structure hits sort of the next tiers, I guess, the 2,500 or -- I think in the past that we've sort of, maybe on previous calls, ballparked sort of the SFR securitization potential or when you hit that hurdle at sort of 3,000 homes or something like that, 3,000 to 5,000 or 2,000 or 3,000 homes for RESI, is that sort of how that hurdle with 2,500 rented homes is constructed? And I think that before, we were at maybe Q2 as the potential for when we could reach that hurdle was the disclosure on previous calls. Are we still sort of in that range? Or do you think it's more of a back half to hit that first hurdle? 
George Ellison: Okay, there was a couple of things in that. I think I heard you say, did we structure the 2,500 hurdle inside the contract to be associated with something. Is that what you asked? 
Fred Small: That's the first thing. And then the second thing is the time line still set up? Got it. 
George Ellison: Yes, I got it. Yes, so the first question is no, they weren't connected at all. But that's -- it is a -- I don't have every, not that there's been a ton, I don't have every SFR securitization, but I agree with you. I think it's probably a 2,500 to 3,000 kind of a limit on that stuff. So that's just a coincidence. The break is the 2,500, and the next break is at 4,500. They were disconnected. As to when that happens, it's accelerating obviously. It's very positive that I think in the -- one of the charts, the arc of the leases is going dramatically up. And so that's great. When we hit that 2,500 to 3,000, it's a little hard to straight-line because it's kind of moving up that second half of the year. I can't tell you. I -- it's really just starting to blossom. As soon as we get to that number, we'll look at that securitization if that market is still open. 
Fred Small: Okay, sorry, and then just one more. I have asked Ashish this over email a while ago, and forgot to follow up. But just on -- when you're thinking about the economics in terms of discounting on -- in order to get things leased up, offering incentives like a month off rent or 2 weeks off rent, sort of what's the -- how do you evaluate the push and pull there? Is it just -- is it better to just overall just offer a month off, get the property leased because then the advances -- the terms of the advance change even under the current sort of repo agreements? Or I guess how much are you willing to sort of play with the gross yield? And how much room do you have? 
Ashish Pandey: Fred, the average rent that we are receiving on our portfolio is approximately 98% of our asking rent. That has been consistent with our underwriting, and we have not seen any change in that trend. So when you see our improved lease velocity, it is a function of our improvement in getting properties into a level for our leased pool and is not a result of trying to cut, for instance our travel [ph] numbers. They speak for themselves. There was a slide in the Residential presentation. I think given our unique cost structure and approach, our numbers are significantly better than any of the public competitor. 
Operator: Our next question comes from the line of Mike Grondahl with Piper Jaffray. 
Michael Grondahl: Just one quick question. George or Ashish, if you had to allocate management's time the rest of 2015 between RESI and these other 3 newer initiatives, how do you think it will shake out? 
George Ellison: Well, as I said, the primary focus is RESI and continuing to get RESI stronger, better, faster, optimize that whole business. As we look at other businesses, I think it would be we'll have to add people. So the team that we have, I actually think we're going to continue to grow as RESI continues to prosper and AAMC along with it. As we look at new ideas, as you know, there's a lot of people in the marketplace working on these things. And as the other lenders either aren't in that space or exiting those spaces, people become available. And so I think we'd add people to any of these ideas that we pursue. 
Operator: I'm showing no further questions at this time. I would now like to turn the call back over to management for any further remarks. 
Robin Lowe: Just like to thank everybody for joining the call today, and have a great day. Thank you. 
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone, have a great day.